Operator: Good morning and welcome to the TICC Capital Corp. Third Quarter 2017 Earnings Release and Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Mr. Jonathan Cohen, CEO. Please go ahead.
Jonathan Cohen: Thanks very much. Good morning and welcome everyone to the TICC Capital Corp. third quarter 2017 earnings conference call. I'm joined today by Saul Rosenthal, our President and Chief Operating Officer; and Bruce Rubin, our Chief Financial Officer. Bruce, could you open the call today with a discussion regarding forward-looking statements?
Bruce Rubin: Sure, Jonathan. Today's call is being recorded. An audio replay of the conference call will be available for 30 days. The replay information is included in our press release that was released earlier this morning. Please note that this call is the property of TICC Capital Corp. Any unauthorized rebroadcast of this call in any form is strictly prohibited. I'd also like to call your attention to the customary disclosure in our press release this morning regarding forward-looking information. Today's conference call includes forward-looking statements and projections, and we ask that you refer to our most recent filings at the SEC, for important factors that could cause actual results to differ materially from those projections. We do not undertake to update our forward-looking statements, unless required to do so by law. To obtain copies of our latest SEC filings, please visit our website at www.ticc.com. With that, I'll turn the presentation back over to Jonathan.
Jonathan Cohen: Thanks very much Bruce. We generated a total return of approximately 1.6% for shareholders during the third quarter of 2017, representing the change in TICC's book value per share plus distributions paid to our common shareholders. The book value per share was $7.43 at the end of the third quarter of 2017 compared to $7.51 at the end of the second quarter of 2017. We paid distributions of $0.20 per share during the third quarter. For the quarter ended September 30th, 2017, we reported GAAP net investment income of approximately $6.8 million or approximately $0.13 per share. In the third quarter, we recorded net realized losses of approximately $3.3 million, of which $2.2 million represented an acceleration of costs associated with the optional early repayment of the TCCI 2012-1 CLO secured notes and net unrealized appreciation of approximately $2.6 million. In total, we had a net increase in net assets from operations of approximately $6 million or $0.12 per share. Our core net investment income for the quarter end of September 30th, 2017 was approximately $6.8 million or approximately $0.13 per share. Please see the earnings release we issued today for reconciliation of the investment income with core net investment income. We know that we continue to have no investments on non-accrual status as of September 30th, 2017. During the third quarter, we continue to execute our strategy of rotating out a broadly syndicated corporate loans and into more narrowly syndicated loans through purchases in both the primary via pre-marketing and general syndications, and the secondary markets. Moreover, our corporate investment activity continues to focus on the rotation of the portfolio into higher yielding loans. We also continued the active rotation of our CLO portfolio with opportunistic purchases and sales. Several of our CLOs executed refinancing transactions which decreased the weighted average cost of their respective liabilities, and in certain instances, executed reset transactions, which also concurrently lengthened the reinvestment period of those -- of the CLO. During the quarter, we voluntarily redeemed the secured notes on our TCII 2012-1 CLO. The redemption of that CLO provides us with the ability to continue the rotation of our corporate loan portfolio into higher yielding assets. With that redemption, we eliminated approximately $73.4 million of debt on our balance sheet. Additionally, on November 1st, 2017, our 7.5% 2017 convertible senior notes matured and were repaid in full, representing a $94.5 million reduction in our leverage. We continue to pursue our mandate of maximizing the risk adjusted total return to our shareholders. As such we haven't continued to focus on portfolio management strategies designed to maximize our total return as opposed to generating a certain level of income over a particular timeframe. We view the market opportunity currently available to us as strong and as a permanent capital vehicle we have historically been able to take a longer term view towards our investments. We believe this perspective has served us well during 2017. We know that additional information about TCII's third quarter performance has been posted to our website at www.ticc.com. And with that, operator, we are happy to open the call for any questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Christopher Testa with National Securities Corporation. Please go ahead.
Christopher Testa: Hey, good morning guys. Thanks for taking my questions. Jonathan, just curious what would have been the decrease in the CLO equity cash yields backing out the one-time costs of refinancing and other things you noted in the press release?
Jonathan Cohen : Decently higher Chris. We don't have a precise figure for that, but given the one-time expenses associated with these various refinancing and reset that was certainly a drag during the quarter. The other change was a diminishment in our effective yield during the quarter consistent with tighter syndicated corporate loan spread environment. Against that, we have the potential and we are realizing in certain instances an ability to diminish our cost of capital within these various CLO structures as they refinance and reset.
Christopher Testa: Got it. And just on a high level question from me if I can. I totally appreciate the CLO equity as an asset class and what it does in terms of generating cash that's generally in excess of what you're allowed to recognize under GAAP. Having said that, it is causing you to kind of lead out NAV because you're under earning the dividend consistently on a GAAP NII basis. Is there any thought on the Board's behalf in terms of changing this to set it on GAAP BII as opposed to core income?
Jonathan Cohen: Sure Chris. The Board of Directors every quarter looks at both GAAP and cash or GAAP and core along with all the other components of our income stream and our total return proposition and makes their determination based upon all of those things. So, that's something to be considered. But in terms of leading out NAV, I -- as you put it, I think that is worth some additional discussion. Over the course of the last year -- from the end of the third quarter 2016 till the end of the third quarter 2017, our book value per share has actually increased approximately 4.9%, about $0.35 a share from $7.08 to $7.43. During that period, we've distributed out $0.89 per share in cash distributions. So, representing about 12.6% return on the distribution side against the $7.08 per share net asset value. So, I think we've managed to do a fairly good job over the course of an extended period and certainly over the last year, maintaining book value while managing our CLO equity investment strategy.
Operator: Thank you. And our next question comes from Mickey Schleien with Ladenburg. Please go ahead.
Mickey Schleien: Yes, good morning Jonathan.
Jonathan Cohen: Good morning Mickey.
Mickey Schleien: Jonathan between TICC and Oxford Lane, you have a lot of insight into the collateral underlying all these CLO investments which numbers hundreds, if not, thousands of individual loans. So, my question is I assume you track that collateral fairly closely. Are you seeing any signs at all of a slowdown or perhaps a pickup in the economy? And the reason for my question is we're just statistically so long into these this expansion cycle, I'm trying to understand if that will persist or not? And if not, are you positioning the portfolio for a downturn?
Jonathan Cohen: Sure Mickey. To answer the first part of your question, the answer is we have not seen any meaningful signs or any signs that we consider to be highly relevant within our various collateral pools inside of the CLO equity structures that we own that would indicate the beginning of a meaningful decline in overall economic activity. The most relevant aspect of all the various things that we look at is probably default rates. And default rates have remained very, very low within U.S. CLO structures now for an extended period of time. So, we're not seeing that. In terms of syndicated corporate loan spreads, the tightening -- the rise in prices and the tightening in corporate loan spreads continues and we agree with you, we're, sort of, in agreement that we're almost certainly closer to the top of the credit cycle than the middle of the bottom of the credit cycle certainly. So, with all of those things -- and to answer the second part of your question, we have taken steps to attempt to insulate ourselves to the greatest extent possible against an economic downturn, against the rising rates, against widening of spreads. Some of those things have included a fairly dramatic deleveraging in the portfolio or debt to equity ratio a year ago to 86%. It stands at 41% as of the end of the third quarter of 2017 and with the repayment of our 2017 convert, we've obviously taken a significant step towards a lower levered portfolio. Additionally within our CMO equity book, there are certain things that we have attempted to do to architect a more resilient portfolio. We've talked about some of those things in the past, but that remains a priority for us.
Mickey Schleien: That's helpful Jon. And my follow-up question regards LIBOR and if I could just get your thoughts on what could replace LIBOR down the road and how are financial institutions and regulators going to handle that process, so that doesn’t shock the system?
Jonathan Cohen: Sure Mickey. CLO indenture structures -- U.S. CLO indenture structures are already beginning to build in mechanisms to allow for the ultimate replacement of libel or with some alternate mechanism -- some alternate index that will, as you say, eventually replace LIBOR. In terms of the specific mechanism or the specific index that will ultimately take LIBOR's place, we haven't really speculated on that. I think the market is still in a state of uncertainty around that. But again our hope and expectation is that that will over a multi-year period represent a fairly seamless transition. Thank you, Mickey very much for that question.
Operator: Okay. Thank you. At this time, we have no further questions. So, I would now like to conclude our question-and-answer session and turn the conference back over to Mr. Cohen for any closing remarks.
Jonathan Cohen: Great. Thank you very much. I'd like to thank everyone who has participated in this call or who listens to the replay for their interest in TICC Capital Corp. And we look forward to speaking you during the fourth quarter and on our call early next year. Thank you very much.
Operator: Thank you. The conference has now concluded. Thank you for joining us for this presentation. You may now disconnect your lines.